Operator: Greetings and welcome to the Ecolab's fourth quarter 2016 earnings release conference call. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. As a reminder, this conference is being recorded. It is now my pleasure to introduce your host Mike Monahan, Senior Vice President, External Communications. Mr. Monahan, you may now begin.
Michael J. Monahan - Ecolab, Inc.: Thank you. Hello, everyone, and welcome to Ecolab's fourth quarter conference call. With me today is Doug Baker, Ecolab's Chairman and CEO; and Dan Schmechel, our CFO. A discussion of our results along with our earnings release and the slides referencing this quarter's results and our outlook are available on the Ecolab's website at ecolab.com/investor. Please take a moment to read the cautionary statements on these materials stating that this teleconference, the discussion and the slides include estimates of future performance. These are forward-looking statements and actual results could differ materially from those projected. Factors that could cause actual results to differ are described in the section of our most recent Form 10-K under Item 1A, Risk Factors, and in our posted materials. We also refer you to the supplemental diluted earnings per share information in the release. Starting with a brief overview of the quarter, continued attractive new business gains and new product introductions drove solid acquisition-adjusted fixed currency growth in our Institutional, Industrial and Other segments during the fourth quarter. These were offset by a moderating underlying sales decline in the Energy segment, though previously discussed one-time sales impacts in both this and last year resulted in a wider posted decrease for that business. Product innovation and ongoing cost efficiency work led the total company's adjusted fixed currency operating margin expansion, more than offsetting the impact of soft economies, challenging end markets and continued currency headwinds. These drove the fourth quarter's 2% adjusted earnings per share increase, which includes a 2 percentage point currency translation headwind. Moving to some highlights from the quarter and as discussed in our press release, consolidated acquisition-adjusted fixed currency sales for Institutional, Industrial and Other segments grew 4%, but were offset by lower Energy sales period. Regional fixed currency sales growth was led by Latin America. Reported operating margins increased 710 basis points. Adjusted fixed currency operating margins expanded 20 basis points, as continued sales growth from our Institutional, Industrial and Other segments as well as pricing and cost efficiencies offset lower Energy results. In 2016's difficult operating environment, we focused on driving new business gains by helping customers to lower their costs. We used our industry-leading product innovation and service strengths to help customers achieve the best results and lowest operating costs and, through these, aggressively drive new account gains across all of our segments. We expect 2017's external environment to show continued sluggish economic growth, higher delivered product costs, reduced but still unfavorable currency translation effects and gradually improving fundamentals in the energy markets. We will again work aggressively to drive our growth, employing the same fundamental approach, win new business using our innovative new products and a sharp focus on sales execution, and along with pricing and cost efficiencies, grow our top and bottom lines at improved rates. We look for strong earnings growth in 2017, significantly outperforming the headwinds. We look for a better year-on-year acquisition-adjusted fixed currency growth in our Institutional, Industrial, and Other segments, as they once again work aggressively to outpace their markets, leveraging investments we have made to further improve sales and service force effectiveness and profitability. We expect Energy to be modestly accretive to sales and earnings growth, as it benefits from a more stable market. We believe our actions will lead to better growth and stronger comparisons in the second half of the year versus the first half for Ecolab in 2017 with forecasted adjusted diluted earnings per share in the $4.70 to $4.90 range this year, increasing 8% to 12% including unfavorable $0.07 per share or 2 percentage point currency impact to earnings. In summary, despite a very challenging global, economic, and market environment, we expect to deliver strong adjusted diluted EPS growth in 2017. And now, here's Doug Baker with some comments.
Douglas M. Baker, Jr. - Ecolab, Inc.: Thank you, Mike. So I'm just going to touch on first the fourth quarter and then thoughts on 2017. So first, Q4, we had, going into the quarter, forecast that our Institutional, Industrial, and Other businesses would see better Q4 sales acceleration than Q3 and that our Energy business would deliver roughly the same sales and OI in Q4 as it did in Q3. Our Energy forecast turned out to be spot on. Its business is stabilized in the top line and improved on the bottom line with operating income up 45% in the second half versus the first half on similar sales. Our Institutional, Industrial, and Other businesses did accelerate, but not as much as anticipated in Q4. Sales grew 50 basis points faster, but we projected a little north of 100 basis points. The lower acceleration plus a negative $0.01 of FX versus our forecast, and it was a rounding $0.01, drove the delta versus the midpoint of our Q4 range or $0.03. Underneath, the business is fairly solid with improvements in both industrial and institutional sectors, and our heavy up investments in healthcare and Life Sciences are gaining traction. Finally, even as we recognized some softness in the fourth quarter, we purposely chose to stay the course on our investments and inventory reduction plans given our view moving into 2017. So let's talk this year. Importantly, we moved into the year with solid fundamentals and lessening headwinds. We expect to deliver double-digit adjusted EPS growth as indicated by the midpoint of our range. The forecast we have is built on the following assumptions: similar overall global growth environment; continued solid Institutional, Industrial, and Other growth with the business accelerating for the year; a stable energy market with oil trading in the $50 to $60 a barrel range; modest raw material inflation that we will offset by pricing; stabilizing dollar driving modest FX unfavorability for the year; and some first-half negative impact as FX hedges unwind. Given the timing of the hedge unwinds and the raw material increases which are front-end loaded and our typical pricing delay, we will see better EPS growth in the second half, but we will see growth in all four quarters and a return ultimately to more normal Ecolab-like performance. So with that, I'm going to turn it to Mike and then we'll open up to questions in a minute.
Michael J. Monahan - Ecolab, Inc.: Thanks. That concludes our formal remarks. A final note before we start Q&A. We plan to hold our annual tour of our booth at the National Restaurant Association Show in Chicago on Monday, May 22. Looking further ahead, we also plan to hold our 2017 Investor Day in St. Paul on Thursday, September 7. If you have any questions, please contact my office. Operator, please begin the question-and-answer period.
Operator: Thank you. Our first question is from the line of Gary Bisbee with RBC. Please go ahead with your questions.
Gary Bisbee - RBC Capital Markets LLC: Hey, guys. Good afternoon. I guess maybe I'll just start out with the Energy business. A two-part question. The energy industry CapEx outlook calls for a sharp rebound in U.S. shale, but pretty lackluster outside of that. Given you make more money in that business, I guess I just wanted to get a sense for how you're thinking about your Energy business? And the second part more specifically, your prepared remarks said that drilling fluids were doing well but that the well completion didn't as much. Is there any reason that would continue, or was that something more specific to this quarter? Thank you.
Douglas M. Baker, Jr. - Ecolab, Inc.: We think the well completion will build throughout the year and start coming around even in this quarter particularly in North America. Yeah, I mean I think there're two energy markets right now. North America is clearly turning and the rest of the world has not yet turned and probably we won't expect to see a turn there until the second half of this year. But with that said, I think our view on the Energy business is clearly more favorable than the last couple of years. We view that we think it will be minorly accretive both on a top line basis and a bottom line basis for the year. It's going to show kind of steady improvement on the top line throughout the year. The first quarter, we would expect sales to be slightly under first quarter of last year, but have positive OI. And the real question for us, we do not forecast any big upturn occurring in 2017. We think that's more a 2018 story. And we'll have to see how we plan to build some resources moving into 2018 at the end of the year. But that's going to be a story we'll talk about in subsequent quarters. Right now, I would say we're fairly – we view this year as sort of a transition year in the Energy business, but it's certainly not going to be a drag like it has been the last two years.
Gary Bisbee - RBC Capital Markets LLC: Great. And then to follow up just quickly, how are you planning or how did you fund the recent acquisition in Europe? And any color you'd provide on how we should think about modeling the profitability of that or growth of that asset, any thoughts there. Thank you.
Douglas M. Baker, Jr. - Ecolab, Inc.: Dan Schmechel happens to be here. Why don't you answer that, Dan?
Daniel J. Schmechel - Ecolab, Inc.: Sure. So given what we're buying here, our European assets, our intent is to fund it effectively in the European debt market, where the rates are currently very attractive.
Operator: Thank you. Our next question is from the line of John Quealy with Canaccord Genuity. Please proceed with your question.
John Salvatore Quealy - Canaccord Genuity, Inc.: Hi, good afternoon. First question, can you talk a little bit about inflationary pressures across the business? And how should we think about the lag between any price gains and any raw material pressures that you have? How do we think about that by segment?
Douglas M. Baker, Jr. - Ecolab, Inc.: We would expect that you're going to see a change. We already started to see it in the fourth quarter in some of the businesses. The price lag usually is several quarters for us. And we say within the first 12 months we typically recover the absolute dollar of the inflation in raw materials through pricing, but we don't recover the margin usually for another year. It just takes a while. We tend to try to go through and do this on a more smooth basis. You've got, though, in certain businesses, Water and Energy in particular, a number of cost-plus contracts. Those usually always lag a quarter or two both on the down and on the up as we go through, and those are already pre-negotiated changes, and that represents often about 25% of their business. So I think what you would expect to see this year is we're going to have some margin pressure from inflation in the first couple of quarters. That's both raw material increases and the FX hedges unwinding, but it's going to be offset by pricing as you move into quarters three and four, and that's pretty much across the board.
John Salvatore Quealy - Canaccord Genuity, Inc.: Okay, thank you. And then on the follow-up, Healthcare posted another good organic gain, and I think this is a couple of quarters in a row of better than corporate growth there. Can you talk a little bit about what's going on in your outlook there for 2017? Thank you, folks.
Douglas M. Baker, Jr. - Ecolab, Inc.: Healthcare, as we've been talking, we felt good about the plans and the progress we have made in Healthcare, and it always takes a few quarters to show up. But a couple of things, we had a 6% quarter in Q4 in terms of Healthcare growth. It was really driven. We have created two business units in Healthcare, if you will. There's the acute care, still focused on hospitals principally. We also have a Life Sciences business unit. The acute care has continued to accelerate. It did a 4% in Q4 and the Life Sciences did 14%. And moving into Q1, we would expect the acute care to accelerate from 4% to 6% – 5% or 6%, and the Life Sciences is going to be around 14% again or mid-teens. So both sides of that business are doing, I would say, better and they've got very good traction on both sides. And it's driven the old-fashioned way, by great focus on new business activity and leveraging innovation to drive new business. So for the year, we have a fairly bullish outlook, very similar to first quarter. That's how we see the year progressing.
Operator: Thank you. The next question is from the line of David Ridley-Lane with Bank of America Merrill Lynch. Please proceed with your questions.
David E. Ridley-Lane - Bank of America Merrill Lynch: Sure, so over the last couple of years, the Water segment has been dragged by weak results in the mining industry in particular. When you look out to 2017, do you think you'll mostly have lapped that, and what are your growth expectations for that business?
Douglas M. Baker, Jr. - Ecolab, Inc.: I'll address mining first. I think mining improved dramatically throughout the year, but it was still down mid-single digits in the fourth quarter. We would expect mining to probably trip into positive territory, either Q1 or Q2 latest, as we go through this year. If you look at Water in total, I think the Water story next year we think is going to be a – it will be a significant improvement. There's a lot of things that have been going on in the Water business that we feel very good about. It always takes a couple of quarters. But the fundamental story there is strong new business activity, strong innovation activity, and 2017 is just fundamentally a better market for Water than 2016, not even expecting turnarounds in a number of industries. But stabilization in mining and steel and a number of other heavy industries, it will do just fine. The Light business, which has not been impacted by what I would call segment softness, grew 7% in the fourth quarter, and we expect similar-type results next year.
David E. Ridley-Lane - Bank of America Merrill Lynch: And then on the recent acquisition of Laboratoires Anios, should we think about the operating margins as similar to Ecolab's legacy European segment, or are they closer to the Global Institutional segment margins?
Douglas M. Baker, Jr. - Ecolab, Inc.: They're closer. They're somewhere in between, but closer to the Institutional margins than they are certainly to the average European margins. So it was an attractive business from a profitability standpoint, innovation standpoint, positioning standpoint, so we're quite happy that we were able to close on that business.
Operator: Thank you. Our next question is from the line of Manav Patnaik with Barclays. Please proceed with your questions.
Manav Patnaik - Barclays Capital, Inc.: Thank you. Good afternoon. I just wanted to – your guidance for 2017 calls for more Ecolab-like growth, I guess, and I think rough math would suggest you're probably still looking for somewhere short of mid-single digits, maybe just around then. I was just wondering. What does it take or what do you need to get to those 6% to 8% type targets you've always set out for the longer term?
Douglas M. Baker, Jr. - Ecolab, Inc.: I think from a top line standpoint, we need all businesses moving, and so Energy this year will be, as we said, modestly accretive on the top line, but certainly not – we don't think it will be growing into the 6% to 8% for the full year simply because you're starting with a minor hole in first quarter as you go in. And we are not predicting a dramatic recovery in that business globally in 2017. We think it's in front of us. But certainly the top line this year will be positive that we have enough I think sales growth to overcome what we predict will be a fairly modest negative from currency, and I think you'll see our overall business improve and perform. In our Institutional, Industrial, and Other businesses this year, the combined, we expect our results in 2017 to be more favorable than 2016 from a top line standpoint too. So these businesses are all moving in the right direction. And I would expect next year I think you'll see a normal top line type performance because energy will be in a more favorable market.
Manav Patnaik - Barclays Capital, Inc.: Got it, okay. And then I know there's a lot of moving pieces with obviously the new administration, but I was hoping you could give us some color on maybe what the moving parts would be for your business in terms of your supply chain with respect to the border tax proposals and so forth. Any color there would be helpful.
Douglas M. Baker, Jr. - Ecolab, Inc.: One, I think none of us know ultimately what a tax proposal will look like, and there's a lot of work being done obviously in DC. Let's say the Brady Plan with the border adjustability provision was passed. It would be favorable for us. We don't take any solace in that because fundamentally we don't think that's ultimately what's going to probably get through, but who knows? I think the bigger question is what's its impact on the overall economy and many of our customers which is also a big concern for us and maybe even a bigger concern. And so we're also quite hopeful that we're able to get something done on corporate tax. We'd like a lot of the provisions in what I'll call the Brady proposal. I'm not totally comfortable with the border adjustability just as a big, big bet on a big piece of our economy and nobody knows exactly how it plays out and that seems to us unwarranted because the other parts of the proposal, we think, are almost guaranteed wins. So we have to let it play out. If it did pass exactly like it is, our tax rate would likely go down.
Operator: Thank you. Our next question is coming from the line of John Roberts with UBS. Please proceed with your questions.
John Roberts - UBS Securities LLC: Thank you. Doug, Food & Beverage right after the Nalco deal was one of the higher growth areas because of the synergies. It's become one of the lower growth areas recently. Have we just lapped the opportunities or is there a way to get that business growing faster again?
Douglas M. Baker, Jr. - Ecolab, Inc.: Yeah. I think we believe F&B is going to grow faster in 2017 than 2016 for two reasons. One, it had a very steady, successful new business campaign. They certainty were in markets this year that were impacted. I mean, dairy has been a tough market, agri has been a tough market and you also have just a lot of consolidations going on, some that are behind us, but we'll see what the future holds. Clearly, the dairy and agri businesses, if nothing else, are annualizing and they're no longer declining. So we think the environment in 2017 is just more favorable than 2016 period for that business. So we would expect the innovation and new business work to shine through in a more effective way. So we see F&B accelerating in 2017 versus 2016.
John Roberts - UBS Securities LLC: And then you've got a major competitor in both the water area and the cleaning chemical areas in play right now. Should we expect Ecolab's M&A activity to be relatively subdued until those two other transactions clear the market?
Douglas M. Baker, Jr. - Ecolab, Inc.: Not necessarily. I don't think they're going to impact our M&A view going forward. So, what would impact that is, are they good deals.
Operator: Thank you. Our next question is from the line of Shlomo Rosenbaum with Stifel. Please proceed with your questions.
Shlomo Rosenbaum - Stifel, Nicolaus & Co., Inc.: Hi, good morning. Thank you for taking my questions. Hey, Doug, Paper is doing just way better than we certainly expected when you bought the original Nalco business and a 5% growth. I was wondering if you could just talk about what's going on over there underlying, are we at kind of a new normal over here, what kind of growth to expect, does it look like it's more core than it used to look like a few years ago? And then I have a follow-up after that.
Douglas M. Baker, Jr. - Ecolab, Inc.: I've always been pretty clear on Paper that we weren't going to be the consolidator, but we likely weren't going to be the divestiture either on that property. And we've always said that that business has got a very good team, good innovation, capabilities. It's always done fairly well. We have built EBITDA margins in that business handily since we acquired it and it's had a very steady top line growth trajectory even in a difficult environment. So, what's going on in Paper, yeah, I mean our terminal value there is in a 5% growth, I'll say that. But we would expect 2017 to be in the 3% to 4% range versus the historic 2% to 3%. I think the team's finding its legs. It's done a good job, continuing to improve the, sort of, customer portfolio and keep focusing where you would expect to see growth in Paper moving forward, and they've got strong innovation pipeline, so I think the team's done a very good job. They've improved that business, so it's sustainable. But we aren't predicting 5% growth going forward.
Shlomo Rosenbaum - Stifel, Nicolaus & Co., Inc.: Okay, great. And just I want to follow up on a note on the technician shortage in Equipment Care. Are you seeing just from other business units also like wage inflation or a tougher hiring environment and have you seen kind of that step up in the last several quarters, and if so, how are you thinking about that in terms of just margins and how you attack something like that at this point in time.
Douglas M. Baker, Jr. - Ecolab, Inc.: I'd say it's very specific geographically, but certainly, I mean, if you take U.S., yeah, there are certain markets where we've clearly seen wage inflation driven by the low unemployment, I mean, including our headquarter market. So we're in a market here that's been perennially around a little north of 3% unemployment, but we've lived through this for many years in a sense and certainly we've seen wage inflation driven the old-fashioned way via the market, and how do we deal with it? Like we deal with all other inflationary items. I mean we've got to go price forward. And you brought up kitchen equipment repair. That business has successfully recovered all inflationary pressures. It certainly improved profitability handily even with those pressures in 2016 and we expect it's equipped to do that going forward as are our other businesses. So I don't think this is going to be something that we proactively talk about moving forward as one of the real key pressures on the business. We think it's a pressure we can manage.
Operator: Thank you. Our next question comes from the line of Laurence Alexander with Jefferies. Please proceed with your questions.
Laurence Alexander - Jefferies LLC: Good afternoon. Can you give an update on how you're thinking about growth in Europe and whether it will be enough to sort of get back on the 100 basis points of margin expansion track?
Douglas M. Baker, Jr. - Ecolab, Inc.: Well, I mean for the year last year, we met our 100 basis point objective either just looking at legacy or if you look at total Europe and include other businesses. And so I don't think we have to get back on there. I think cumulative now in the legacy businesses, we've done 650 basis points over six years, so that's doing what we said we would do, and we anticipate that we will be able to accomplish that again in 2017. But your point's fair. You need a – we need top line movement to do that, so obviously driving that kind of success in a negative sales growth environment would be much harder. We would expect – we will continue to have top line growth there, but we would expect 2017 to be more modest than 2016 in Europe, simply because we anticipate we'll have a slow start there.
Laurence Alexander - Jefferies LLC: Thank you.
Operator: Our next question is from the line of David Begleiter with Deutsche Bank. Please proceed with your questions.
David I. Begleiter - Deutsche Bank Securities, Inc.: Thank you. Doug, just on Institutional, how do you characterize the demand trends in that business right now and what are you looking forward for growth in that business in 2017?
Douglas M. Baker, Jr. - Ecolab, Inc.: In total, I think Institutional is going to have a similar year in 2017 in total as it did in 2016, which is very solid year. It's going to be probably a flip in terms of stronger second half in 2017 versus first half as we go. Demand profile is good. I mean I would say foodservice trends globally remain fairly strong. Lodging remains fairly strong in that business. Obviously, we have a very strong business in the United States. And if you cut through all the noise and there's like a Swisher drag in there and all the rest. That business was a 6% growth business in Q4 and we expect similar in Q1. So it's doing quite well, and that's all we expect moving forward. In 2017, you're going to be going against a very strong base in the first half and an easier base, if you will, comps in the second half. So, that's going to have influence and also on a margin standpoint, they're going to have some cost-to-goods pressure and hedging effects in the first half that they'll overcome through pricing. And we expect more margin expansion in the second half than in the first half in that business. But that's not an unsimilar story to other sectors we're dealing with. That business is doing just fine.
David I. Begleiter - Deutsche Bank Securities, Inc.: Very good. And just on Diversity, Doug, are you seeing any benefits or are you taking advantage of any of the distractions at Diversity during their sales process?
Douglas M. Baker, Jr. - Ecolab, Inc.: We've been I would say over the years in a number of instances we've had situations where competitors go through the distraction of either a large acquisition and/or being sold or bought or whatever you want to call it. In all cases, we do view that as an opportunity, and we try not to miss those opportunities as we move forward. We think the stability that we've had as a business in terms of ownership, management focus, and the rest has been a real advantage for us. And we try to make that known how that advantage plays out for customers' benefit, and certainly we'll continue to do that.
Operator: Thank you. Our next question is from the line of Dmitry Silversteyn with Longbow Research. Please proceed with your questions.
Dmitry Silversteyn - Longbow Research LLC: Good afternoon. A lot of my questions have been answered already, but thank you for taking my call, a quick question on the comments that you made regarding the strength that you've seen in your revenues in Latin America in the fourth quarter. Was that just a question of easier comps or foreign exchange or just the business efforts that you've had in the area or the economy is coming back? Can you provide a little bit more color on what's driving the Latin American strength?
Douglas M. Baker, Jr. - Ecolab, Inc.: I think there are a couple of things. If you look at the growth, 60% of it is pricing. You've got pretty significant inflation going on in that market as a consequence of devaluing currencies. And we've worked hard to make sure that we're recovering the inflation that that drives via pricing, and so that's clearly a big piece of the sales growth. But then the remaining 40% or 4 points is volume. And I would say those economies aren't great, but we've still been able to capture new business successfully and retain business successfully, which is why we're also seeing volume growth in addition to the pricing growth. So I think we'll continue to do well. We've got a very, very good Latin America team. They have performed year in and year out over a long period of time, and we expect more from them and the same type of results going forward.
Dmitry Silversteyn - Longbow Research LLC: Okay, thank you. And then the other question, actually you've touched on the trends in Paper and Food & Beverage, but another smaller segment in Industrial that's doing well for you recently is textile care, and obviously that's also not been a segment where you've been focusing on growth, I guess, would be the best way to put it. So can you talk a little bit about what's changing, if anything, in the market that's allowing this segment to all of a sudden start posting mid-single-digit growth versus very low-single digits that we've become accustomed to in the previous years?
Douglas M. Baker, Jr. - Ecolab, Inc.: First, I'd say, Dmitry, in all cases if we're in a business, we're in it to win and we're in it to drive growth, period. Otherwise, you shouldn't own the thing. And so the expectations of textile, paper, any business that we have are the same, which is we're going to continue to grow share, we're going to continue to grow margins, and we're going to do them simultaneously as we move forward. And we need to outperform whatever the economic conditions are. So that's our expectation. Look, I feel good. I think the Paper team is proud of what they've accomplished and the textile team has started to regain some momentum too. And they've done it by selling new business and getting after some of their margin challenges, particularly in certain geographies. And there's more to do there, but I have a lot of confidence that that business is on it and is poised to continue to drive improvements going forward.
Operator: Thank you. The next question is from the line of Jeff Zekauskas with JPMorgan. Please go ahead with your questions.
Jeffrey J. Zekauskas - JPMorgan Securities LLC: Hi, good afternoon. Can you talk about the price trends in Energy and whether those price trends are going to persist in the first half of 2017 or longer?
Douglas M. Baker, Jr. - Ecolab, Inc.: We've seen steady improvement. It looked like our low point in terms of pricing pressure was, I'll call it July 1. And since then it's slowly abated, not dramatically, but slowly. We would perceive that we'll see that continued, I guess, less bad pricing scenario for the first two quarters, and we might start getting even in Q3 – Q4 or even see some light at the end of the tunnel, particularly if raws start moving in the other direction, triggering some contractual terms.
Jeffrey J. Zekauskas - JPMorgan Securities LLC: Okay. And then for my follow-up, for the last two years your SG&A expense has been down year over year. And I think this year you're talking about a 33% SG&A ratio, which would probably mean that would be up, I don't know, somewhere between $150 million and $200 million. Is that a true description of what's occurring, and why the SG&A inflation this year?
Douglas M. Baker, Jr. - Ecolab, Inc.: I'd say the last couple of years what you've had going on is, I would say modest. It's still been accretive from a margin standpoint, but growth in SG&A across the Industrial, Institutional, and Other platform, and it's been offset in total by reduction in SG&A in Energy, as we've right-sized that business for the market conditions. What you have in 2017 is obviously no more need for right-sizing the Energy business. If anything, SG&A is going to be stable there, and we'll probably be looking to add important growth components as the year progresses there, if our view on Energy remains the same, that 2018 is going to be a strong year. And you see continued what I would call modest investments in SG&A and the other businesses continue in 2017. So the big difference I would say versus the last few years is Energy is no longer in a cut mode.
Operator: Thank you. The next question is coming from the line of Tim Mulrooney with William Blair. Please proceed with your questions.
Tim M. Mulrooney - William Blair & Co. LLC: Good afternoon. It looks like core growth in the specialty business ticked up in fourth quarter to 8%. What drove the strong performance there? Were there some one-time factors or easier comparisons? And then how are you thinking about this business for 2017?
Douglas M. Baker, Jr. - Ecolab, Inc.: Pest had a little stronger quarter, but it's been running around that area. I would say that business is in a good position. Sometimes during a quarter, you may have a point of growth up or a point of growth down. It's just 13 weeks. By and large, we expect that to continue to grow in the high single-digit area as we move forward in 2017.
Tim M. Mulrooney - William Blair & Co. LLC: Okay, great. Thanks. And then in the Institutional business, can you quantify the impact to organic growth from the exiting of the low margin business at Swisher? Was it a point or more or less than a point? And then also, on the divestiture of the non-core business, how big was that? Thank you.
Douglas M. Baker, Jr. - Ecolab, Inc.: Yeah, I would say globally it rounds around almost to a point, but it's going to go away probably the end of Q2, Q3 start normalizing, on your first question, i.e. the low margin and the less attractive business. And we don't take that out of our acquisition-adjusted because it's really sort of in the base business. The business we exited was worth, like, $30 million. It was the restroom hygiene business. That is adjusted out when we do acquisition-adjusted figures or organic figures.
Operator: Thank you. Our next question is from the line of Mike Harrison with Seaport Global Securities. Please proceed with your questions.
Michael Joseph Harrison - Seaport Global Securities LLC: Hi, good afternoon. Just looking at the Institutional division, you've commented in the past on new account wins. I was wondering if you could give a little bit of color on the pace of business with those new accounts. Is it still the case that you're getting the warewashing business first and then over time you would expect to increase penetration into some other product lines or is it the case where more recently you're seeing the rate of penetration better from the outside such that you're selling a broader range of products from the get-go?
Douglas M. Baker, Jr. - Ecolab, Inc.: I think somewhere in between, Mike. I mean the truth is when we sell a new, say, foodservice operation, be it the foodservice in a hotel or a restaurant chain or a caterer, we typically get a pretty big slug of what I'll call the kitchen hygiene program including warewashing and other products needed to take care of the food safety, et cetera, in a kitchen. Over time, we built from there, no doubt about it and that equation has not changed. So, that is simple as it's only warewash and then we start selling the balance of the kitchen hygiene. Usually, it's, call it, 80% of the kitchen hygiene program. We build from there. But that would not include things like water filtration, audit programs, pest elimination programs, kitchen equipment repair, et cetera, et cetera. Those types of programs are built over time as our customer relationship develops.
Michael Joseph Harrison - Seaport Global Securities LLC: And then I was just hoping that you could talk a little bit about the cost structure and the margin profile of the Energy business as we think about next year. Obviously some puts and takes. You were taking out costs this year, but based on this modest revenue growth profile, how much margin improvement could we expect to see in terms of OI margin next year compared to this 11% margin that we showed this year? Is it a situation where we could see you get as high as the 13.4% that we saw back in 2015?
Douglas M. Baker, Jr. - Ecolab, Inc.: When you're saying next year, is that 2017?
Michael Joseph Harrison - Seaport Global Securities LLC: Yeah, sorry, this year.
Douglas M. Baker, Jr. - Ecolab, Inc.: Okay.
Michael Joseph Harrison - Seaport Global Securities LLC: I'm living in the past, Doug.
Douglas M. Baker, Jr. - Ecolab, Inc.: No, it's okay. I was, like, all of the sudden I'm being asked questions about Energy margins for 2018. Yeah, I think you're going to see – you won't see dramatic margin improvement this year for two reasons. One, we're kind of going through this transition, and there's two parts of this transition. There's a gross profit part, because as oil recovery occurs, so too does raw material recovery. We've talked – we always have a bit of a delay between raw material price increases and our ability to capture price, and that's true in the Energy business as well. And secondly, we're going to have some investment that we need to make in the Energy business in SG&A, moving into 2018 if we are confident that 2018 represents a pick-up in business activity. That call's going to be made in the third and fourth quarter. It's a long time from now in that sense and so I don't even know that it's worth talking about. For the year, we think the margin – as I mentioned earlier, we expect modest accretion on both the top and bottom line which suggests kind of flattish margins for the year in Energy, as we kind of go through this noise of raws and pricing recovery and then anticipated probably some SG&A investments needed as we exit the year preparing for an upturn next year. That's what's in our forecast.
Operator: Thank you. Our next question is from the line of Hamzah Mazari with Macquarie. Please proceed with your questions.
Hamzah Mazari - Macquarie Capital (USA), Inc.: Good afternoon. You had previously highlighted a potential opportunity to monetize customer data through technology investments in the field and I think you referenced the cloud as well. Just curious what inning are we in sort of the monetization process and could this be meaningful over the long term. Any color around that would be great.
Douglas M. Baker, Jr. - Ecolab, Inc.: I think the opportunity to use the information that we already capture within customers much more effectively to drive value, merchandise the value we create, develop new opportunities and ways to help customers obviously with their full partnership represents a huge opportunity for the company. Whether it's specifically monetizing the information, i.e. charging for it or it's instead used as a means of us better helping customers and being more valuable, I think it's probably the latter. It's my guess as we move forward. We're in early innings. We certainly do it in many instances today, but I think our ability to up our game there is fairly dramatic. We've got huge advantage, I think, versus anybody else. We have over a million customer sites and probably collect data today and call it – and making it up 800,000 of those sites, but have only connected about less than 100,000 of those sites to the cloud. So the hard part is capturing the data. Connecting to the cloud isn't technically very complicated, and that's the work that we're doing. And then synthesizing it, rationalizing it, making it valuable for customers is, like, real work, and we're partnering with some great partners to learn how to do this and improve our capabilities there, which I think we've talked about. I mean Microsoft is a company that we've been leveraging there in many ways, sales force and other parts of our business, and we'll continue to do that as we move forward. So I think it's going to be huge for the company. It will not impact material 2017. I'm not even sure it will materially impact 2018, but in the not too distant future it's going to be a core way of us doing business.
Hamzah Mazari - Macquarie Capital (USA), Inc.: Great. And just a follow-up question. On the Energy business, do you have a sense of how much of a headwind has it been with customers shifting towards Tier 1 acreage essentially oil plays where it's cheaper extraction cost and so they use less Ecolab product versus oil plays where more Ecolab product is required for extraction? Just trying to get a sense of has that been a structural headwind? Has that gone away? Is that an issue still? Any color would be great. Thank you.
Douglas M. Baker, Jr. - Ecolab, Inc.: First of all, yes, it is a headwind, and when oil gets cheap, people go to the cheapest, right, oil they can find, no doubt about it. We've always said you get kind of a stable price or expected price north of $60, different types of activities turn on and those activities are more fruitful for us because they command more technology than other. With that said, I think there's already been a somewhat positive shift from the bottom of the market as people start getting after oil that they weren't chasing just six, nine months ago, and that's a tailwind that we'll start seeing benefiting us in the Energy business over the next few years. But it's not a light switch, and as we said, we don't expect huge change in activity, stabilization, you're seeing the improvement. We expect to see that, but we don't expect any kind of sand dune or hockey-stick effect in 2017. We think it's going to take a little longer than that.
Operator: Thank you. The next question is from the line of Scott Schneeberger with Oppenheimer. Please proceed with your questions.
Scott Schneeberger - Oppenheimer & Co., Inc.: Thanks very much. I'm just curious in Pest Elimination, I'm pushing double-digits, the commentary is that it should show good growth in the first quarter. I'm curious can we get to double-digits? Is there – and I remember hearing that Zika may be something relevant. I'm just – they haven't heard much about that. Curious to see if that's something that maybe a – push it over the top. Thanks.
Douglas M. Baker, Jr. - Ecolab, Inc.: Yeah. Look, here's what I like. We are now debating whether pest ought to be an 8% or 10% business which is a lot more fun than just a few years ago where it was, like, at 2% and 3%. So I think the team in pest has done exactly what we hoped they would and asked them to do, which is they've really revitalized the business. We made a number of investments in that business, and it has paid off and the team has done a good job leveraging the investments that we made there. I think this is a run rate that we see right now. I don't think there's any natural barrier to the business that says it can't be a double-digit business. But right now I guess our expectation is that it's going to remain a high-single-digit organic growth business and it's a terrific business and at those growth rates we like it quite a bit.
Scott Schneeberger - Oppenheimer & Co., Inc.: Thanks, Doug. And then shifting gears on just CapEx, could you delve into that a little bit for 2017? And where some of the specific areas are that you're targeting? Thanks.
Douglas M. Baker, Jr. - Ecolab, Inc.: A lot of it's more of the same. I would guess this year's CapEx spend – of course we have a plan. We never exactly spend to our plan. I think it's going to be around $800 million spend. The single biggest category again is merchandising equipment. We expect to spend more in merchandising equipment this year than last year. That's a good thing because that's basically dispensing equipment for our chemicals and it indicates bullishness on part of the divisions around their new business capabilities. So I like to see that. If there's been a shift in spend, I went through and explained last year that we had a series of one-timers on offices. That's behind us and is going to slowly dissipate away. We're going to see more capacity build in this year than we did last year in terms of liquids capabilities, some capacity that we want to see for Energy, et cetera, that we're going to build in advance simply because we don't want to get caught short on the turnaround next year.
Operator: Thank you. The next question is from the line of Andrew Wittmann with Robert W. Baird. Please proceed with your questions.
Andrew John Wittmann - Robert W. Baird & Co., Inc.: Great, thanks. Guys, I just noticed in your commentary on Energy that there are a couple exogenous-type events that happened in the quarter. I just want to have a little bit better understanding of what that was and how non-reoccurring they were.
Douglas M. Baker, Jr. - Ecolab, Inc.: In Energy?
Andrew John Wittmann - Robert W. Baird & Co., Inc.: Yes.
Douglas M. Baker, Jr. - Ecolab, Inc.: I would say there are always going to be exogenous events every quarter in Energy. I would say Energy in the fourth quarter delivered exactly what we expected it to moving into the quarter, and we haven't been able to say that many times. And so you always have events in Energy. And so certainly Nigeria, you've got pipelines going down in other parts of Africa. That impacts it. But there's always something going on. We've got a global business in Energy. And our expectation is the fundamentals in that market are improving, and that's the thing that we most focus on. We can't predict when the next pipeline is going to go down, but something will happen in 2017 also, I'm sure.
Andrew John Wittmann - Robert W. Baird & Co., Inc.: Got it. I wanted to follow up on use of the buyback. Obviously, you didn't do any in fourth quarter, and you did front-load last year's buyback activity with an ASR. You haven't announced one this year. I'm just curious as to what your thoughts are around the buyback for 2017. And similar to a prior question, does it depend on the clearance of the larger deals that would be of potential interest to you? Do those need to clear before maybe we'd see the buyback ramp up?
Douglas M. Baker, Jr. - Ecolab, Inc.: I'm sure he won't fall for it.
Daniel J. Schmechel - Ecolab, Inc.: So standing here today, what we know our expectation for 2017 is that our share repurchase would be about the same in amount and sequence that you saw in 2016. So we did $700 million of shares repurchased in 2016. You're right, we did an upfront $300 million ASR. We've not committed to the ASR, but my expectation is that share repurchase would be about the same in the aggregate and that some of it would be done in an accelerated way.
Operator: Thank you. Our next question is from the line of Rosemarie Morbelli with Gabelli & Company. Please proceed with your questions.
Rosemarie Jeanne Morbelli - Gabelli & Company: Thank you. Good afternoon, everyone. Doug, I was wondering if you could touch on Asia. If my memory serves me right, you talked in your prepared remarks about some softness, particularly in China. Could you give us a feel for where the softness was, in particular vis-à-vis your operations and what you are seeing for 2017?
Douglas M. Baker, Jr. - Ecolab, Inc.: Hi, Rosemarie. Yes, in China in heavy water and the heavy industrial side, we continue to see softness there. So I think mining, steel, and even paper just as China has been going through a bit of a cycle in the heavy industry. As we move forward, with that said, so our China business was down maybe 5% for the year, but made more money in 2017. That's the organic rate. The actual reported rate was positive because we made the acquisition that in part annualized in 2016. Moving forward, we would expect to have positive organic growth in 2017, so a better year. In large part, there's stabilization in the Chinese market, even in steel and some of these other areas. What we'll end up doing is annualizing again some of the pain in 2017, so we don't really have a falling market. What we have is a bit lower market, but we will we believe grow in that market both organically and potentially through acquisition too.
Rosemarie Jeanne Morbelli - Gabelli & Company: And if I may, you have made some change in Healthcare with Life Sciences growing at 14% and acute care at 4% to 6%. Can you give us a better feel for the changes you have made? And then what is the percentage of total of each one of those entities? I would guess that it is the Life Sciences that is the smallest, but if you could help on that.
Douglas M. Baker, Jr. - Ecolab, Inc.: So first of all, we've done several things and we've talked about them, but splitting the business allowed both businesses to better focus on: one, acute care; and two, Life Sciences. They're different markets. They utilize some of the same technology, but importantly the selling process, the specific programs that you build for each of those markets are different, and we wanted to make sure that we had improved focus to go after both of those markets successfully. I think that benefited the businesses. Number two, in the acute care area, which we've talked about for a period of time, because it's the largest, we have seen our improved focus on program development around HAICs or healthcare-acquired infection control. That's gone quite well, and that team has done a good job not only developing the program but selling it and getting uptake from customers. And so those are in a nutshell the two big moves that have been made there. And the teams are on it. I think they're doing a very good job. So we would expect them to continue to perform, as I mentioned earlier, in 2017 like we saw in the fourth quarter, so call it mid-single digits for acute care, 5%, 6%, maybe even north, and Life Sciences in the teen-type growth area. Size of Life Sciences, it's a little north of $100 million.
Operator: Thank you. The next question is from the line of Yiqin Gao with Nationwide. Please proceed with your questions.
Yiqin Gao - Nationwide Insurance Co.: Hi, and thank you for taking my question. You mentioned that Ecolab is still going to pursue M&A opportunities this year. Can you talk a little bit about the size of the kind of deal you're looking for and also the pipeline and how you're going to fund those deals? Thank you.
Douglas M. Baker, Jr. - Ecolab, Inc.: Yeah, look, the only – we tend not to get very specific about how we're thinking and what we're thinking about M&A kind of like everybody else. So it's better just left it unsaid. So M&A has been a historic part of our strategy. It will remain a key part of our strategy going forward.
Yiqin Gao - Nationwide Insurance Co.: Okay, thank you.
Operator: Thank you. There are no additional questions at this time. I would like to turn the floor back over to management for closing remarks.
Michael J. Monahan - Ecolab, Inc.: That wraps up our fourth quarter conference call. This call and the associated discussion slides will be available for replay on our website. Thanks for your time today and your participation, and best wishes for the rest of the day.
Operator: Ladies and gentlemen, thank you for your participation. This does conclude today's teleconference and you may now disconnect your lines at this time.